Operator: Welcome to the SuRo Capital's Second Quarter 2025 Earnings Call. My name is Alan, and I will be your coordinator for today's event. Please note, this call is being recorded. [Operator Instructions] Over to your host, Willy Lee to begin today's conference. Thank you.
William Lee:
Investor: Awesome. Thank you for joining us today on today's call. I'm joined today by Chairman and Chief Executive Officer of SuRo Capital, Mark Klein; and Chief Financial Officer, Allison Green. Please note that a slide presentation corresponding to today's prepared remarks by management is available on our website at www.surocap.com under Investor Relations, Events and Presentations. Today's call is being recorded and broadcast live on our website, www.suocap.om. Information is included in our press release issued today. This call is the property of SuRo Capital and the unauthorized reproduction of this call in any form is strictly prohibited. I would also like to call your attention to the customary disclosures in today's earnings press release regarding forward-looking information. Statements made in today's conference call and webcast may constitute forward-looking statements, which relate to future events or our future performance or financial condition. These statements are not guarantees of our future performance or future financial condition or results and involve a number of risks, estimates and uncertainties, including the impact of any market volatility that may be detrimental to our business, our portfolio companies, our industry and the global economy that can cause actual results to differ materially from the plans, intentions and expectations reflected in or suggested by the forward-looking statements. Actual results may differ materially from those in the forward-looking statements as a result of a number of factors, including, but not limited to, those described from time to time in the company's filings with the SEC. Management does not undertake to update such forward-looking statements unless required to do so by law. To obtain copies of SuRo Capital's latest SEC filings, please visit our website at www.surocap.com or the SEC's website at sec.gov. Now I'd like to turn the call over to Mark Klein.
Mark David Klein: Thank you, Willy. The second quarter was a milestone quarter for SuRo Capital. As of June 30, we are proud to report a net asset value of $9.18 per share, a 38% increase from the prior quarter and the largest increase since inception. This exceptional growth was fueled by broad market recognition of the value being created by our AI-focused investments. We believe this performance reflects the strategic foresight we have maintained in companies of this innovation cycle. For several quarters, we stated our belief that AI capital expenditures would continue to accelerate and that the IPO market would reopen, and this quarter, our belief in those trends was affirmed. CoreWeaveâ€™s IPO, coupled with its post-IPO performance led the way. Based on news reports, OpenAI recently closed a second tranche of its landmark $40 billion financing round at a $300 billion post-money valuation, the largest private capital raise ever by a technology company. This second tranche was reportedly oversubscribed by approximately 5x. In the last 24 hours, several publications, including the Financial Times, Reuters, Bloomberg and the Information have reported that OpenAI is also in discussions to conduct a secondary sale at a valuation of $500 billion, which would make it the world's most valuable private technology company. Additionally, Canva is reportedly preparing for a secondary tender at a $37 billion valuation, a development that comes as Figma recently completed a highly successful IPO, underscoring the growing public market enthusiasm for design software platforms. Colombier Acquisition Corp. II completed its merger with GrabAGun, further building on our SPAC sponsor strategy success. Now I would like to discuss each of these portfolio companies in more detail, starting with CoreWeave. Please turn to Slide 4. CoreWeave is the foundation for our AI thesis and SuRo Capital's largest aggregate investment since inception. In the weeks immediately following its IPO, we consistently publicly stated that CoreWeave was underappreciated in the public markets. Throughout the second quarter, we saw our thesis in CoreWeave play out. The stock price climbed over 200% and has remained well above its offering price. CoreWeave's share performance reflects continued investor conviction, which was powerfully validated by last week's earnings report from Microsoft and Meta. Both companies announced staggering capital expenditure plans dedicated to AI with Microsoft forecasting a record $30 billion in capital expenditures for the current fiscal quarter, and Meta raising the bottom end of its full year spending range by $2 billion, $66 billion and $72 billion to support its own AI road map. Together with Amazon and Alphabet, these 4 companies are set to spend nearly $400 billion this year on capital expenditures. This historic wave of investment underscores the immense demand for GPU compute, affirming CoreWeave's critical position as a leading provider and the long-term value of its differentiated relationship with NVIDIA. As previously stated, it's our customary practice to begin monetizing our investments once portfolio companies become public and our shares are freely tradable. During the quarter, we sold approximately 40% of our initial CoreWeave investment, generating $25.3 million in net proceeds and a $15.3 million in realized gains. This partial monetization represents a significant liquidity event for our shareholders. We continue to hold the majority of our position, which we have marked at a material discount to the quarter end trading price due to nonregistration and fees, we remain highly optimistic about the company's future trajectory. In addition to the sale of a portion of our CoreWeave investment, we fully exited our investment in ServiceTitan for a significant realized gain of approximately $6 million. In light of these gains and our current liquidity position, as previously announced, our Board of Directors declared a cash dividend of $0.25 per share paid on July 31 to shareholders of record as of July 21. Based on current portfolio activity and subject to Board approval, we intend to announce additional distributions throughout the remainder of the year. Please turn to Slide 5. Transitioning to OpenAI. OpenAI has firmly established itself as the most transformative technology company in private markets. As mentioned earlier, based on news reports, OpenAI recently closed a second tranche of its landmark $40 billion financing round at a $300 billion post-money valuation, the largest private capital raise ever by a technology company. In the last 24 hours, several publications, including the Financial Times and The Information have reported that OpenAI is also in discussions to conduct a secondary sale at a valuation of $500 billion, which would make it the world's most valuable private technology company. This comes as the company's traction with users has scaled at an astounding pace. According to the same source, OpenAI is now generating over $13 billion in ARR with projections pointing towards $20 billion by year-end. According to The Information, OpenAI now has approximately 700 million weekly active users across its ChatGPT products, up from $500 million in late March. This scale is nearly unprecedented and underscores OpenAI's unique ability to commercialize cutting-edge research at a speed rarely seen in software or platform technology. OpenAI's remarkable growth has been supported by new enterprise features, [ PT ] for Business and Deep Research as well as continued enhancement to memory capabilities and agentic functionality. From both a usage and revenue perspective, OpenAI remains the clear leader in generative AI, and we believe SuRo Capital is one of the only ways investors can gain exposure to this revolutionary and transformative technology company in the private markets. Moving to WHOOP. WHOOP continues to reinforce its leadership in performance and health technology. With the recent launch of WHOOP 5.0 and the MG variant long-duration battery life enhanced sensing for EKG and blood pressure and novel software analytics, including Healthspan Scoring and WHOOP Age. These tools are not only used by elite athletes, but by military special operations, Fortune 500 wellness programs, fitness enthusiasts and clinical research alike. These hardware and software enhancements underscores WHOOP's differentiated approach blending hardware, health coaching and subscription monetization. According to SNS Insider, the wearable fitness technology market is projected $7 billion in 2032, up from approximately $15 billion in 2024, reflecting the powerful tailwinds supporting demand for preventative health tools that combine robust analytics with personalized insights. We remain confident in our position and are excited to continue as long-term investors in what we see as a uniquely positioned player in the wearable health space. Please turn to Slide 6. Turning to Colombier Acquisition Corp. II. In June, Colombier completed its merger with Metroplex Trading, the parent company of GrabAGun. This transaction marks an important milestone in our SPAC sponsored strategy and validates our ability to source and execute unique opportunities outside of traditional investment channels. With the addition of Donald Trump Jr. to the Board and strong consumer demand across the platform, [indiscernible] is well positioned to succeed as a newly public company. This outcome is another testament to the success of our SPAC sponsor strategy, which we established several years ago. As with all our public positions, we will monetize our investment based on market condition and as lockup agreements expire. Moving on to Canva. Canva continues to build on its position as a category-defining visual communications platform. It has expanded its visual suite, introduced new AI-powered design tools and maintain strong expertise traction. According to several industry sources, Canva is exploring a secondary tender offer at a $37 billion valuation. If completed, this would represent a meaningful uplift from previous private market valuations and reflects continued investor confidence in the company's long-term [indiscernible]. According to Capital Brief, Canva's annual recurring revenue is now $3.3 billion, up 50% since May 2024 with 240 million monthly active users. These updates come amid a constructive public market environment for design software companies. Last week, Figma's stock more than tripled in its New York Stock Exchange debut, valuing the company at roughly a $50 billion valuation. The blockbuster reception highlights the significant public market appetite for higher-growth design software companies like Canva. Please turn to Slide 7. Turning to our recent investment activity. As previously announced during the quarter, we made a $5 million investment in Plaid through a sole limited partnership interest in 1789 Capital Nirvana II LP. Plaid remains a foundational pillar of the fintech ecosystem, connecting over 12,000 financial institutions to more than 8,000 digital apps with over 500 million linked accounts and over 100 end users globally. Our investment was part of Plaid's $575 million financing led by Franklin Templeton, Fidelity, NEA, Ribbit and others. According to TechCrunch, the round was completed at a $6.1 billion post-money valuation. According to CNBC, this financing is anticipated to be Plaid's latest private financing before the company lists on the public markets. According to PitchBook, the financing brings the total capital raised to date by Plaid to approximately $1.3 billion. Plaid is widely regarded as one of the most critical pieces of infrastructure in the U.S. financial data stack with an estimated 2/3 of U.S. fintechs relying on its API network. According to JPMorgan, Plaid generated approximately $300 million in revenue in 2024, supported by consistent double-digit growth in its core business, new products that represented over 20% of ARR [indiscernible] operating margins. According to the same source, Plaid is pursuing a more than $30 billion total addressable market across adjacent verticals, including real-time payments, alternative credit data, and fraud prevention. Recent product launches such as Plaid Protect, a real-time fraud intelligence system and Plaid Transfer, a platform supporting bank payments across multiple rails highlight the company's ability to innovate at top its core infrastructure. We believe Plaid's developer-centric platform and expanding network effects position it to remain a category-defining leader in open finance. Additionally, subject -- subsequent to quarter end, we made a $250,000 in follow-on investment in Liquid Death. This investment follows reports that Liquid Death will be entering the energy drink category with their first release anticipated in January. The new beverage will feature no sugar, no artificial sweeteners, added vitamins and what the company calls an unextreme caffeine level of 100 milligrams per can, positioned for you alternative in a market increasingly saturated with high caffeine options. According to Liquid Death, energy drinks are the most common other item in the physical and digital shopping baskets of Liquid Death buyers. According to the Wall Street Journal and Mintel Analytics, better-for-you options will include some low sugar but high caffeine drinks, saw the biggest increase in consumption in the larger estimated $24 billion energy drink category between January '23 and '24. We're excited to see Liquid Death continue to expand into new product categories and capitalize on creative collaborations. This is an exciting period for SuRo Capital. At quarter end, nearly 1/3 of our investment portfolio at fair value was directly in AI infrastructure companies, and we believe we are in the early innings of seeing these investments pay off. With meaningful liquidity from our partial CoreWeave sale and our full exit of ServiceTitan, accelerating capital expenditures, the reopening of the IPO market and continued progress across key portfolio companies, OpenAI, WHOOP, Canva and the successful completion of the Colombier transaction, we believe our portfolio is well positioned to create substantial long-term value to our shareholders. Thank you for your attention. And with that, I'll hand it over to Allison Green, our Chief Financial Officer.
Allison Green: Thank you, Mark. I would like to follow Mark's update with a high-level review of our investment portfolio as of quarter end and a more detailed review of our second quarter financial results, including our liquidity as of June 30. I'll begin with a brief highlight of investment activity and portfolio company realizations during the second quarter and subsequent to quarter end and the investment theme breakdown of our investment portfolio at the end of the second quarter. [indiscernible] on the recently declared and paid cash dividend and our intentions related to distributions for the remainder of 2025. Please turn to Slide 8. As Mark mentioned, on April 4, we made an approximately $5 million investment in the Class A common shares of Plaid through 1789 Capital Nirvana II LP, an SPV in which SuRo Capital Corp. is the sole limited partner. The $5 million does not include a 7% or $350,000 origination fee paid at the time of investment and other capitalized costs of the transaction. Additionally, we have prepaid and will continue to prepay expenses of the SPV on an annual basis. During the second quarter, we sold the entirety of our 222,240 direct public common shares of CoreWeave for net proceeds of approximately $25.3 million, resulting in a realized gain of approximately $15.3 million. The exited shares represented approximately 40% of our original initial aggregate $25 million investment in CoreWeave alongside our $50 million investment in CW Opportunity 2 LP. CW Opportunity 2 LP is an SPV for which the Class A membership interest is solely invested in the Class A common shares of CoreWeave. SuRo Capital has invested in the Class A common shares CoreWeave through its investment in the Class A membership interest of CW Opportunity 2 LP. As of quarter end and to date, we continue to have exposure to CoreWaeve through our investment in CW Opportunity 2 LP. During the quarter, following the lockup release of our common shares in June, we fully exited our position in ServiceTitan by selling the 151,515 common shares for net proceeds of approximately $15.9 million, resulting in a realized gain of approximately $5.9 million. Finally, subsequent to quarter end, we made a $250,000 follow-on investment in Liquid Death convertible note. The note bears an interest rate of 4.12% and matures in June 2028. This brings our aggregate investment to date in Liquid Death to approximately $10.3 million. I would now like to turn to our portfolio as of quarter end. Please turn to Slide 9. Our top 5 investments as of June 30 were CoreWeave, OpenAI, WHOOP, Colombier Sponsor II and Learneo. These positions accounted for approximately 53% of the total portfolio at fair value. Additionally, as of June 30, our top 10 positions accounted for approximately 76% of the investment portfolio. Please turn to Slide 10. Segmented by 7 general investment themes, the top allocation of our investment portfolio at June 30 was to artificial intelligence infrastructure and applications, representing approximately 33% of the investment portfolio at fair value. Financial technology and services and consumer goods and services were the next 2 largest categories with approximately 17% and 16% of our portfolio, respectively. 14% of our portfolio was invested in Software as a Service and education technology companies accounted for approximately 10% [indiscernible] portfolio. The logistics and supply chain category accounted for approximately 8% of the fair value of our portfolio and SuRo Capital Sports accounted for approximately 2% as of June 30. Please turn to Slide 11. We ended the second quarter 2025 with a net asset value of approximately $219.4 million or $9.18 per share, which is consistent with our financial reporting. This compares to an NAV of $6.66 per share as of March 31 and $6.68 per share as of year-end 2024. The increase was driven primarily by valuation appreciation in several of our top positions and realized gains from the sale of a portion of our CoreWeave investment. More specifically, the increase in NAV per share from $6.66 at the end of the first quarter was primarily attributable to a $1.88 per share increase driven by the net unrealized appreciation of our investment portfolio during the second quarter and an $0.89 per share increase due to net realized gain on sale of investments during the second quarter. These increases were offset by a $0.16 per share decrease due to net investment loss and a $0.09 per share decrease from the impact of stock-based compensation during the quarter the quarter. At June 30 and currently, there are 23,888,107 shares of the company's common stock outstanding. Regarding our liquidity as of quarter end. We ended the quarter with approximately $52.4 million of liquid assets, including approximately $49.9 million in cash and approximately $2.5 million in unrestricted public securities. Not included in our unrestricted public securities are approximately $40.9 million of public securities subject to lockup or other sales restrictions as of quarter [indiscernible] represents our investment in CoreWeave via the Class A interest of CW Opportunity 2 LP. As I mentioned previously, CW Opportunity 2 LP is an SPV for which the Class A membership interest is solely invested in the Class A common shares of CoreWeave. SuRo Capital confirmed as of June 30, 2025, the underlying Class A common shares held by CW Opportunity 2 LP were not registered and are therefore, subject to certain restrictions on sale or transfer for which SuRo Capital has applied a discount to the closing share price as of the reporting date. As such, at quarter end, our CW Opportunity 2 LP position was materially discounted. Finally, I'd like to conclude with additional commentary on our recent dividend declaration and payment. Subsequent to [indiscernible] on July 3, SuRo Capital's Board of Directors declared a cash dividend of $0.25 per share paid on July 31 to the company's common stockholders of record as of the close of business on July 21. This dividend is generally attributable to the successful monetization of certain of SuRo Capital's public securities and other promising developments in our investment portfolio. As Mark mentioned, based on ongoing portfolio activity, we anticipate declaring additional distributions throughout the year. The date of declaration and amount of any dividends or distributions, including any future distributions are subject to the sole discretion of SuRo Capital's Board of Directors. The aggregate amount of distributions declared and paid by SuRo Capital will be fully taxable to stockholders. The tax character of SuRo Capital's distributions cannot be finally determined until the close of SuRo Capital's taxable year, which is December 31. SuRo Capital will report the actual tax characteristics of each year's distributions annually to stockholders and the IRS on Form 1099- DIV subsequent to year-end. As a result of the $0.25 per share cash dividend paid on July 31 to stockholders of record as of the close of business on July 21, effective as of July 21, the conversion rate applicable to the 6.5% convertible notes due 2029 was adjusted to $7.53 per share or 132.7530 shares of the company's dollar principal amount of the 6.5% convertible notes due 2029 from the initial conversion price of $7.75 per share or 129.0323 shares of the company's common stock for $1,000 principal amount of the 6.5% convertible notes due 2029, which has been effective since issuance. The adjustment to the conversion rate of the 6.5% convertible notes due 2029 was made pursuant to the note purchase agreement governing said notes. That concludes my comments. We would like to thank you for your interest and support of SuRo Capital. Now I will turn the call over to the operator to start the Q&A session. Operator?
Operator: [Operator Instructions] We will take our first question from Brian Mckenna, Citizens.
Brian J. Mckenna: Congrats on all the recent momentum. So looking at the public holding exits in the quarter, realized gains totaled $21 million in aggregate, that's roughly $0.85 per share. You only declared a $0.25 dividend. I know this will continue to move higher in the coming quarters just as you monetize some of your additional investments, the thought process a little bit around the second quarter dividend. And then is there any way to think about the potential size of dividends in 3Q and 4Q based on the current mark-to-market of your public positions today?
Mark David Klein: Thanks, Brian. And again, [indiscernible] for your ongoing support and efforts around your coverage with us. As we've done in the past, we sort of -- we project out what we think our dividend cadence will be and sizing. As you remarked, we did take a reasonable amount of gains to date. We also did come into the year with realized losses, which we overcome. As we look forward, we expect to have ongoing monetizations of some of our public companies that will become freely tradable, CoreWeave being one of them, the GrabAGun, Colombier II parts of that will be others. So we anticipate once we see how those monetizations occur to declare at least one and most probably 2 distributions, targeting one towards the end of Q3 and another as we get towards the end of the year.
Operator: There are no further questions on the line. So I will now hand you back to your host for closing remarks.
Mark David Klein: Thank you all for attending our call. This is really an extremely exciting time for SuRo. We're very fortunate to have positioned the portfolio in a way to take advantage of what is transpiring in the AI ecosystem, and we appreciate you joining us and being shareholders. Thank you very much.
Operator: Thank you for joining today's call. You may now disconnect.